Operator: Good day. Thank you for standing by. Welcome to Wix' First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please note that today's conference may be recorded. I will now hand the conference over to your speaker host, Emily Liu, Head of Investor Relations. Please go ahead.
Emily Liu: Thanks, and good morning, everyone. Welcome to Wix' first quarter 2025 earnings call. Joining me today to discuss our results are Avishai Abrahami, CEO and Co-Founder; Nir Zohar, President and Co-Founder; and Lior Shemesh, our CFO. During this call, we may make forward-looking statements, and these statements are based on current expectations and assumptions. Please consider the risk factors included in our press release and most recent Form 20-F that could cause our actual results to differ materially from these forward-looking statements. We do not undertake any obligation to update these forward-looking statements. In addition, we will comment on non-GAAP financial results and key operating metrics. You can find all reconciliations between our GAAP and non-GAAP results in the earnings materials and in our Interactive Analyst Center on the Investor Relations section of our website, investors.wix.com. With that, I'll turn the call over to Avishai.
Avishai Abrahami: Thank you, Emily, and good morning, everyone. 2025 is off to a strong and exciting start even as the macroeconomic landscape continues to evolve, we've seen robust demand for our platform, reaffirming the essential role Wix plays for small businesses everywhere and everyone who wants or needs an online presence around the world. Our team continues to execute with excellence, delivering significant product innovation and strategic momentum aligned with our long-term vision. Excitingly, we’ve launched the first of 2 milestone products slotted for the year. Earlier this month, we introduced Wixel, our new stand-alone visual design platform that extends Wix' vast design expertise beyond websites for the first time. Wixel marks the beginning of our next-generation approach to visual design, combining Wix' intuitive creation tools and user-friendly interface with the power of Generative AI. This platform combines the best AI models on the market today, tailored for specific image needs, including object, background editing and much more with a constant pipeline of new AI enhancements. This makes Wixel unique from everything else available on the market. It handles the complexity of today's high-end AI technology behind the scenes, choosing and continuously optimizing the best models for each task. This allows our users to always have access to the most advanced and up-to-date tools for image generation and editing. So how did we get here? We initially started building Wixel for Wix users. We saw the incredible demand for powerful video and image editing capabilities amongst our own users who edited and saved more than 40 million images to use on their Wix websites in 2024. There was also a need from the more than 100 million members on DeviantArt, the largest online social network and platform for artists to promote their works. These artists seek high-performance, professional-grade image editing tools that enable them to create exhibition worthy work. However, visual editing is difficult today with professional grade image creation and manipulation only possible with graphic design platform for professionals, not accessible to the average person. My vision is for Wixel to democratize visual design, the same way Wix has democratized website building. In the past, if you wanted a great-looking website, you either needed to be a web designer or hire one, Wix change that. Now with Wixel, we're doing the same for visual design assets, allowing anyone to create something stunning and professional grade in minutes. Our goal is to give total control over photo and video editing to everyone, the same way we did for website creation. Wixel is for Wix users for entrepreneurs, freelancers and business owners who already rely on Wix to build and grow online. It's for the millions of DeviantArt artists, who want to add an easy to use a powerful editing tool to their toolkit, without sacrificing the quality of their art. But Wixel's reach goes far beyond that. It's for anyone trying to create any type of digital design asset without a technical background. If you've ever felt limited by your tools or by your own skills, Wixel is for you. Excitingly, we partnered with Microsoft to integrate Wixel's capabilities into Microsoft Copilot. This collaboration allows Microsoft 365 users, small business owners, students and everyday creators to design in a smarter, more intuitive way with Wixel. Though this launch is a cornerstone of our product road map, we are still very early in the journey with plenty of work ahead in order to achieve our vision for Wixel. In the coming year, you can expect the platform to evolve meaningfully with breakthrough capabilities. As we continue to innovate, I'm excited to see how Wixel reshapes the digital creation space. Wixel was the headline, but it wasn't the only launch this quarter. We also introduced Astro, our new AI assistant embedded within the Wix dashboard. Astro simplifies the user journey by guiding users, surfacing relevant tools and insights and helping them complete key tasks. We expect Astro to improve user engagement, boost package upgrades and reduce churn over the long-term. And it's only the first in a series of AI agents we plan to roll-out. Additionally, we launched new AI-powered tools for website automations and real-time site customization, including adaptive content application, Wix functions and Wix automations. These features are designed to make our platform smarter and more efficient while delivering highly personalized experiences to site visitors. Finally, we rolled out the Wix model context protocol or MCP server, a key infrastructure advancement that allows users to leverage natural language prompts to seamlessly connect Wix' comprehensive business functionality with their preferred compatible AI-powered tools. The Wix MCP server enables AI-driven app development for users to build custom experiences on top of Wix or manage their Wix-based business using natural language and AI coding assistance as the use case presented at Stripe's recent conference, our team demonstrated how to use LLMs to generate reliable code for fully functional payment solutions. They built a complete website that accepts online payments via credit cards, Apple Pay and Google Pay through Wix payments and Stripe. As we continue innovating, our focus remains the same, creating powerful tools that make it easier, faster and more inspiring for anyone to build online. Our commitment to AI innovation, user empowerment and long-term growth has never been stronger. With that, Nir, over to you.
Nir Zohar: Thanks, Avishai. We've kicked off 2025 with our strongest new user cohort of recent years as demand for building online exceeded expectations in the first quarter. This strength underscores the value of our platform against any macro backdrop and our unmatched innovation that enables Wix users to achieve their goals online more effectively than ever before. Our Q1 2025 user cohort generated $36 million in bookings, reflecting a 12% increase over the bookings generated by the Q1 2024 cohort, which was also very strong in its first quarter. This marks a meaningful improvement in demand as year-over-year new cohort bookings had previously grown mid-single-digits in the post-COVID period. Impressively, this significant growth acceleration was driven almost entirely by better fundamentals, particularly a bigger user cohort and product innovation. From a top of funnel perspective, we saw strong traction particularly in several key high-spend geographic regions, including the U.S. and parts of Europe. This drove the addition of nearly 5.3 million new users in Q1, up 7% year-over-year. Importantly, we maintained a high proportion of high intent and commerce-oriented users as our product innovation continues to attract users with more sophisticated needs. We saw healthy conversion of this higher number of new users into paid subscriptions driven by our AI onboarding funnel, which continues to widen with the large majority of new users opting to use our AI website builder to create their first Wix website. Partners also continue to convert well driven by studio momentum as we roll-out platform enhancements and deepen our reach within the professional community. In addition to a robust top of funnel, monetization of the most recent cohort improved compared to previous user cohorts. Higher ARPS was fueled by new users buying more higher tier packages and strong attachment rates for business solutions, particularly Google Workspace. We captured strong top-of-funnel demand through the first quarter while continuing to prudently manage acquisition, marketing investments against our guardrails. Strong execution of our acquisition strategy has us on-track to achieve a time to return on our investment, or TROI of 4 to 5 months on our Q1 2025 user cohort, which is at the lower end of our targeted return guardrails. These returns are similar to the returns on the first quarter cohorts of prior years despite the much larger recent new user bookings base, this is particularly impressive and demonstrates the improved quality of our top of funnel today. Turning to our existing user cohorts, behavior remained healthy. Bookings from prior cohorts continued to grow steadily in the first quarter, supported by stable conversion, strong retention and increasing ARPS. In our Partners business, these effects are magnified as professionals build more sites attached to more business solutions and drove GPV growth through more complex projects. I'd like to finish with some thoughts on what we're seeing on the macro front. Year-to-date, we've seen really positive demand trends with new cohort strengths actually continuing through April and early May. This is a clear reflection of the critical and growing role Wix plays in helping small businesses and anyone building their brand online succeed and thrive. In fact, our business historically has tended to outperform during times when shifting online increasingly became nonnegotiable. We expect Q2, Q3 and Q4 new cohorts to remain strong, driving top-line growth acceleration in 2H as these additional cohorts layer on and contribution ramps throughout the year. Though we are encouraged by the strong demand and our results so far, it is difficult to predict how the macro environment could trend through the rest of the year. So while we like what we're seeing today, we are building conservatism into our expectations, particularly around our Business Solutions segment. Business Solutions, particularly e-commerce and GPV is naturally a bit more responsive to changes in consumer behavior and macro volatility. Overall engagement and adoption of our suite of business applications currently remain healthy and we continue to onboard larger merchants to the platform. Our solid Q1 results illustrate the durability of our business across varying macroeconomic environments as Wix remains the leading platform to create, manage and grow our digital presence. I remain confident in our ability to drive long-term growth by delivering essential tools that help users adapt, operate and succeed in any environment. With that, I'll hand it over to Lior, who will provide more details on our financial results and our outlook.
Lior Shemesh: Thanks, Nir. We began 2025 on strong footing with very healthy top-line growth driven by continued benefits from our key strategic and product initiatives, particularly studio and our growing suite of AI offerings as well as robust year-to-date top of funnel activity you just heard about from Nir. This underscores the critical importance of Wix to small businesses and anyone maintaining an online presence globally. Starting with our first quarter results before we move on to expectations for the rest of the year, total bookings were $511 million in Q1, up 12% year-over-year. Total revenue was $474 million, up 13% year-over-year and above the high-end of our guidance. Partners revenue grew 24% year-over-year to $172 million in the first quarter, driven by more subscription purchases, particularly higher price ones as well as improved adoption of business applications and increasing GPV. Importantly, studio adoption remains strong as bookings from new studio subscriptions accelerated compared to previous quarters. This was a factor of new Partners building their first studio website more quickly than previous cohorts and existing studio Partners building additional projects on the platform. Transaction revenue in Q1 was $59 million, up 19% year-over-year, driven by increasing GPV and continued improvement in our take rate as more merchants adopted Wix Payments. Transaction revenue growth also continued to benefit from the previous year's addition of a new Wix Payments partner. As we lap this benefit in Q2 we expect transaction revenue to grow at a similar pace as GPV going forward. Digging into GPV, we continue to face headwinds from the same small subsidiary discussed last quarter, accelerated GPV drawdown in this subsidiary resulted in a 2-point headwind to total GPV in Q1. We expect this headwind to GPV to persist through the rest of the year, though, with minimal top-line impact as GPV from subsidiaries experienced significantly lower monetization rates. As a result, core GPV, excluding the impact of this subsidiary, grew 12% year-over-year in constant currency. Total non-GAAP gross margin in Q1 was 69%, in-line with our expectation. Non-GAAP operating income increased 44% year-over-year and totaled 21% of revenue as we continue to benefit from a stable operating cost base as our business scales. This quarter, non-GAAP R&D expenses increased quarter-over-quarter to $96 million as we added developer headcount in line with our hiring plan for 2025. Non-GAAP sales and marketing expenses grew quarter-over-quarter to $102 million as we increased acquisition marketing spend to capture the strong demand we saw through the first quarter. Despite the larger base of cohort bookings on-boarded, TROI remained stable, underscoring the strength of the Wix brand, improving quality of our funnel and continued execution of our marketing strategy. Q1 free cash flow was over $142 million or a milestone 30% of revenue. Let's turn now to outlook for Q2 and the rest of 2025. We expect total revenue in Q2 to be $485 million to $489 million, representing approximately 11% to 12% year-over-year growth. Even with new cohort trends remaining strong, we are maintaining our bookings expectations for the full year. We continue to expect bookings of $2,025 million to $2,060 million or 11% to 13% growth year-over-year. For revenue, we are also maintaining our previous guidance of $1,970 million to $2,000 million or 12% to 14% growth year-over-year. Our expectations now incorporate a higher degree of conservatism given the macro uncertainty Nir spoke about, this potential volatility is offset by the easing FX headwinds we're seeing today, so while our fundamentals remain very healthy today, we are also aware that the macro pendulum can swing quite meaningfully, very quickly. As a result, we are also leaving our free cash flow expectations unchanged. We continue to expect to generate $590 million to $610 million of free cash flow or 30% to 31% of revenue in 2025. We remain on-track to achieve a Rule of 45 this year, assuming high end of our outlook. Finally, I'm pleased to announce the upsizing of our share repurchase program. The board has authorized an additional $200 million of repurchases, which now puts the total authorization under the current program at $400 million. This increase reflects continued confidence in our ability to drive strong cash flow generation as well as our ongoing commitment to increasing shareholder value. Operator, we are now ready for questions.
Operator: [Operator Instructions] Your first question coming from the line of Ygal Arounian from Citigroup.
Ygal Arounian: Maybe just to start with Wixel, Avishai, given the focus on your comments. Can you maybe just give us a little bit more color on the expectations on the rollout kind of the product road map monetization expectations? Is this something that, over time, you think can have -- to be as big as Wix is today, maybe kind of end market users a little bit more, just to understand how this might flow through the financials and the company metrics over the next couple of years?
Avishai Abrahami: Of course, I think that we just offline Wixel, right? So this is the very early version of the product that we just released. And we believe that this allows us to expand on a market in a few ways. First of all, it's a new final. It allowed us to bring users that don't need a website and Wix because they need the ability to do really sophisticated image editing, which is today only possible with AI. The -- so that's the first thing. The second thing is that it's also something that we intend to release to issue Wix users, so allowing them to add their content better. Their images and the video is better, which also we hope to expand the capabilities of our users. Wixel is a separate subscription. It's priced on some pricing, which we are just now starting to take. So it's going to take a while until it stabilize, but its own price, its own subscription and its own user base. We did see that already when we started this product immediately started with a few interesting Partnerships, Microsoft, OpenAI. So we do believe there is a big need in the market for an AI image editing and video editing.
Ygal Arounian: And maybe I'll stay with you, Avishai, and the AI team. And if we can just get kind of your updated thoughts on the AI landscape within the web builder world or kind of, I guess, web design more broadly now. There's -- you guys continue to roll-out a lot of products. It feels like the cadence around AI has picked up or AI releases. You -- in the letter, you talked about or mentioned vibe coding. And I guess there's just been a lot of change over the past few years since Gen AI popped up in your world and you started to implement it into your product. How do you see the world evolving from here, particularly on the kind of vibe coding concept of it becomes easier to code with just kind of natural language processing, and how that changes your product evolution, how it might change the market and the way websites are built just a bigger picture question.
Avishai Abrahami: Well, I think vibe coding is a super exciting concept. It's still very early. And so things tend to break after a while, they're not stable. They're not good at SCO, so search engine optimization. There's a lot of things that need to get there to be mature in order for it to be a viable product for our customers, just the simplest 1 is if you edit something, right, it takes 4 minutes where any small change to happen, right? And the best case scenario is 4 minutes. So moving a [borden] we'll take you a few minutes. So there's a lot of super exciting potential in vibe coding. But I think, it's a bit too early for it to be really a mass product, so reaching for the mass market. [By logic], it's really exciting. I think that for us, as a company, we always -- when it came to AI, we've always been a bit ahead of the curve, like we released the first AI product in 2016 and then a full suite of image editing in '17 and '18. And I think that vibe coding is pretty much the same. We need to be ahead of the curve there. We need to know what is happening and to feel very strong about how to try and combine that into weeks. We're going to start by -- with, of course, a few things include the ability to code components in the Wix Editor, which is one of the obvious things that we're going to be doing. I do think that this will allow us and companies like us to expand our market reach because things that you could not have done traditionally on website building platforms, right? Now you'll be able to do because you are able to custom-code without coding. So I do -- I'm very optimistic. I think it's going to present to us a lot of really interesting opportunities. But I want to emphasize again, it's really a young technology. It's still not stable. It is still very slow, but we definitely have to be -- to understand it and to position ourselves correctly to capitalize on that.
Operator: And our next question coming from the line of Ken Wong with Oppenheimer.
Ken Wong: This one is for you, Lior. As we think about free cash flow margins, usually, Q1 is the low watermark. How should we think about the progression of free cash flow margins through the year, given the current guidance?
Lior Shemesh: So yes, I mean I think that what we are going to see are very similar to last year, meaning that we will see a modest increase in free cash flow margin because we are continuing with the leverage that we are getting in terms of operating expenses out of revenue. So as long as we continue with our plan and we mentioned before that we are going to see a slight acceleration in the second half of the year of revenue and bookings. So obviously, it's going to have also a positive impact on free cash flow. Therefore, I believe that there will be a modest increase in free cash flow throughout the year.
Ken Wong: Okay. Perfect. And then, I mean, this one could be for you or maybe Nir, but I mean you guys have talked about really strong momentum in April and May. At the same time, you guys are talking about heightened conservatism in the guidance. How should we think about kind of what's built in, in terms of that conservatism? Is this kind of a peak April panic or like what level of down ticking are you guys -- have you guys factored in now?
Lior Shemesh: So yes, I think that as always, I mean, we mentioned that many, many times in the past, there are stuff that we can control and things that we cannot control. Obviously, we see a very good result in terms of the Q1 cohort. By the way, it is also improving into April and May. So we feel very comfortable about it. We release new products, we [indiscernible] everything. Everything was already mentioned during Q1 when people ask about the acceleration in the second half of the year, and we did mention about new products and innovation that we already tested. So we actually can see that in Q1, our core results, meaning that it's happening. On the other hand, there are stuff that we cannot control. I mean, look what happened to the -- for example, to the FX in the last few months and to the overall macro in terms of trade and so on. So we want to make sure that we're conservative around it because I really don't know what kind of development or new development is going to happen in the future. So I prefer to be conservative about the guidance and actually maintaining them.
Operator: Our next question coming from the line of Brent Thill with Jefferies.
John Byun : This is John Byun for Brent Thill. Two questions. One, the Partners revenue obviously continued to outperform the rest of the segment, but it is a bit of a decel in Q1 to 24% from 29% last quarter. Wondering how should we think about that, what some of the factors might be? And then second, on the new Wixel product, obviously, as you mentioned, new user base really opening up a new design front, but wondering how you're thinking about distribution, marketing since it is a different type of cohort, as you mentioned, besides the Partnership you mentioned.
Lior Shemesh: So I will start with the Partners revenue. So we feel very good about the overall Partners and the growth. I believe that Partners will continue to be a hyper-growth revenue driver for us in the future. We see also the success of Studio. So it's obviously continue. I want to mention about the specific question that you asked compared to the previous quarter. So obviously, we had 2 points of effect in terms of the FX that has a direct impact on Partners. The other one is about the growth in GPV was a bit less than anticipated. Remember that Partners will make up about 35% of revenue, but contribute over 50% of GPV because also of the nature of the customers and the difference between the mix of sales theaters and Partners. We still feel very strong about Partners and the fact that it will continue to be a growth driver, a meaningful growth driver for us in the future.
Avishai Abrahami: As for Wixel, I think that it's a new funnel, right, the distribution, it's a new funnel, which opened a lot of interesting opportunities. So the first one, of course, is actually using our existing user base and to allow them to access the product. The second one we just demonstrated is going to be, I think -- we think there's a lot of appetite for opportunity for Partnership with this product. So we do intend to continue doing that as well. But I think more interesting, right, is that it allows us to do a lot of really cool things with marketing, and we have a lot of really cool ideas on what to do there. So it's going to be very interesting. I think as a company, we demonstrated many times in the past that we know-how to do online marketing very well and have the discipline to do it on a metric profitable basis. And I think we're going to take the same strategy and try and do it with Wixel. I just want to emphasize again that this is a young product, right? And even that we're seeing great results already, it's going to take time until for that to be substantial in our -- with our revenues.
Operator: Our next question coming from the line of Elizabeth Porter with Morgan Stanley.
Elizabeth Porter: I wanted to ask again on Wixel, think the design and visual adding space has certainly seen some increasing competition. We've also seen some of the traditional design software companies move into websites, which creates just a really interesting intersection. So it'd be great to get a better understanding for really the core differentiator for Wix in the designing software, what enables the right to win against some of the larger brands in the market. And then maybe just at a higher level, some thoughts on pricing, how you landed at $79 a year, and how you're trying to strike the balance between monetization and adoption?
Avishai Abrahami: Well, I think that -- this is a great question. I think the first question is about the fact that we do see some of the traditional design tools moving into more of a website building area. I think less into our universe, but more into the web flow kind of a universe, but we do see some. I think that building really great website, it's a lot harder than it seems. And that actually has tremendous value for users. But beyond that, when it comes to Wixel, we don't try to build the not a drag and drop of editing environment, which I think all the tools that you're referring to are a drag and drop editing environment. What we're trying to do is really how would -- if you would think in the 5-years from today, how you could edit images content with AI. How would that look like? And we're trying to build that into Wixel. So I think the way that the tool itself behaves is very different than the traditional editing environment. Now I'm not saying that they cannot do that. I'm sure, they can there are a lot of smart people there. I'm just saying that if you try to rebuild your tools into this thinking about how will the universe look in 5 years or word with AI look in 5 years, you'll find that you have to change a lot of the user interface a lot of the experience a lot of the underlying technologies in those existing tools, which I believe is a bit of a challenge when you have a big -- we have a lot of users. So we hope that by being able to be more agile and focusing on that long-term vision, we can create a better experience for the people that are interested in editing content with AI.
Elizabeth Porter: And just as a follow-up, I wanted to ask on the top of funnel strength, the net new user cohort kind of flipping to growth after declines in Q1 for the last 2 years has certainly been impressive. So I want to better understand, are you seeing new drivers emerge further improving that top of funnel demand? Is it more Partners versus self-creator? Any notable changes in that the free-to-paid conversion in terms of actions you took specifically in the quarter? And then how just overall, this impacts your view on the premium subscription growth in 2025?
Nir Zohar: Elizabeth, it's Nir. So I think Lior also mentioned that before, these are -- the key things that impact the top of funnel are eventually the product innovation we've done throughout 2024 towards the end of it throughout Q1, and this is an ongoing effort because you've seen us for a long time, we keep on innovating. We keep on introducing new capabilities, new functions. We're improving the funnel itself throughout our users come to the software and to the editors, we improved the ability of the user interface and the ability to get to the end result. We unlock a lot of business functionality people need for a specific business need. And to be honest, we do it on both ends. So it goes to self-care and it goes two Partners. The -- I would say that what we've been experiencing throughout these first few months of the year, Q1 as well as going into the beginning of Q2 is the benefits from those kind of improvements. And naturally, that's also what you're seeing plays out into the increased value of our cohorts in Q1. And it gives us confidence that we can go down and discuss for the rest of the year. I also think it keeps us still positive on our ability to regrow net subs this year.
Operator: Next question coming from Brad Erickson with RBC Capital Markets.
Brad Erickson : First, can you just kind of talk about -- you've sort of been around the edges of this, but can you talk about product development considerations as we kind of think about agents and this ability to sort of can those lots of different sites and more complex tasks and everything. Maybe just, I guess, like help us expand our minds, so to speak, on whether websites somehow kind of need to be like structurally different in the AI era, particularly from like a utility and discoverability perspective, kind of how do you position for that?
Avishai Abrahami: And then just to clarify, you're asking about for ChatGPT to be able to read the website well, or do you talk about how we build a website?
Brad Erickson: Yes, I'm talking about like how agents will sort of maybe change how people access the internet broadly and website specifically.
Avishai Abrahami: Well, I do believe that there is a big change coming. I know that for myself, I'm using ChatGPT more than Google when I check for things now. So I would love to have a content and traffic digest a lot of content from the Internet and try to give you this limited vision and its advantages and disadvantages, right? Because you get this average content from everything. And then a lot of the time, you know what you're looking for and you know what is the right place to look at -- to look at that information with. And that can be a product that you want to buy it, the service that you want to get or it could be just general information, right, but pretty much anything. And the way that LLMs work today by just growing the Internet, of course, is not good enough. It's not going to provide you any knowledge about will my headrest, your revenue appointment in 2 days, right? And so we're starting to see the first layer of protocols, right? Microsoft just announced one and Tropic announced MCP, which is a way for LLM to query complicated services on -- in a way that the agent know-how to learn, how to ask an API. We just announced that we supported and release everything that we say now is available for MCP. And I think we're going to have to be very agile there as valued for our user, I believe, will grow. I want to say year-by-year, but probably month-over-month right? So we need to be there in the front and make sure that we provide the right things. I do also believe that in many ways, that will play -- help platforms like Wix because the complexity of building a website that know-how to offer the services for APIs and MCP to LLM, and how to do the equivalent of SCO for LLM. Just going to make building a website 10x harder, right? So if you today, you can take somebody who know-how to write HTML and CSS and in theory, build a distant website, then in a year, that will be impossible. I think the complexity that will be created by those tools and the speed of innovation, right? MCP was announced 1.5 ago, we already [indiscernible], I think about 1.5 months ago. And so the complexity and the need to support and to accelerate, I think that is something that will actually help all the website and content-building platform because it's going to be much harder to do it with your own internal team.
Brad Erickson: Got it. And then I guess just as we think about the utility of Wix changing, all the good developments you've talked about, do we kind of see any changes to the mix shift we're seeing from Partners versus creators? Or does it kind of augment both at the same rate, and so the mix shift we're seeing kind of continues, which of those would you say?
Avishai Abrahami: Well, in theory, right, in theory, if we look at for future then why would you need an agency, right? Because in theory, you can just tell the AI, build this website for me, change those things, now make it successful. And -- but particularly, we're not there yet. I think there's a big distance that we have to have and for those AI agents to evolve in order to be able to help you actually achieve all of those goals. Even when we are trying to build this exact agents to do each one of those. They still want a human interactions. And I think in a lot of expertise that the human can bring to help it. So I think there is a lot of room for agencies even in the next -- in the years to come. Currently, when we look at the ad data, I would say that and this is probably PCAP technology is faster than consumers, again small businesses. So we'd actually kind of give them a bit of a shift in terms of what they can do. And Studio is a great example of what you can do there if you provide by the -- but I think the shopping habits, right, the people that decide I want to do it myself or the people there, I'm going to go for an agency are pretty much constant. I mean we did engage the humans, right? We only changed the technology. So I think when it comes to that, that's why we're seeing that the buying behavior, and this place is pretty much constant.
Operator: And our next question coming from the line of Josh Beck with Raymond James.
Josh Beck : Yes. Maybe just focusing on self-creator. Obviously, there's been quite nice momentum. I think it accelerated above 7% this quarter. In terms of bridging the gap between where the business stands today and a double-digit type of clip. What would be some of the primary drivers, some conversion is important. I'm not sure if Wixel is a contributor, but just how should we think about that bridge?
Nir Zohar: Josh. So first of all, you're assuming right. Obviously, Wixel, as Avishai mentioned, is very early stages. It's not a contributor at least not at this stage. In the future, definitely an option, but that's not the 2025 thing. Generally speaking, I think that over the course of the year is what we've seen driving the growth of self-creators. There's a big -- obviously, there's always some play here in terms of what does the macro, and how does that affect that can play a role. But this is obviously not something we are counting on because it's completely out of our control. The key thing is improving our editing environment, simplifying lots of the functionality that people need in order to incorporate them into their website. So essentially making the journey from the point where you come to us and you state your need to the point where you actually have something that you're happy about in your proud of the creation, making that journey as smooth as possible, but also as accurate as possible. People are very, very accurate in their needs and in their wants, meaning that they really want to get to something that really encompasses and deliver the exact vision they have to their creation. And lastly, I would also point out, and we've seen this over the years is that websites over the past more than a decade, it became something much, much, much more sophisticated in terms the value they give people the nature of them being transactional, not only for commerce, but also for communicating with your own customers with giving service, with giving information and from that standpoint, whenever we remove a blocker and something that stops the user from achieving their goal, obviously, that also ends up with a heightened conversion and better results. So I think all of those together, I think that we believe can continue driving self-creator growth in the future.
Josh Beck: Super helpful. And maybe a follow-up for Lior. I know there was a comment in there that you expect transaction growth to be similar to GPV growth moving forward. So it seems like somewhat stable take rates is the way to think about that? Is that really a comment for this year as you maybe lap the addition of some payment Partners, but as we take a multiyear view there's still opportunity for the take rate to go higher? Any comments on that front?
Lior Shemesh: So on a multiyear basis, definitely, yes. I think that there are many things that we can do for example, moving people from offline to online. We have our POS solution, full omni-channel solution, that's actually helping that, and we actually do that partnering with channels and customers to use our POS. And this is one of the ways to move people from offline to online in terms of the transaction. Except of that, many new features, many new products that do the same thing. So I believe that definitely, yes, I think that there are more countries that we need to implement Wix payments, and we're definitely going to do that. Yes, we are going to see increase in take rate. I'm not sure if it's going to be significant as last year, for example, when we partner with Square or People. But definitely, they’ve had much more big customer -- big channels like that or a big partnerships like that. But definitely, yes, I believe that it will continue to grow and increase even this year, but not as significant as last year.
Operator: Thank you. And there are no further questions. This concludes today’s conference call. Thank you all for your participation, and you may all disconnect.